Operator: Greetings, and welcome to the MiX Telematics Fiscal Fourth Quarter 2022 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. I would now like to turn this conference over to your host Mr. John Granara, Chief Financial Officer. Thank you, sir. You may begin your presentation.
John Granara: Thank you, and good morning, everyone. We appreciate you joining us to review MiX Telematics earnings results for the fourth quarter fiscal year 2022, which ended on March 31, 2021. Today, we will be discussing the results announced in our press release issued a few hours ago. I’m John Granara, MiX’s Chief Financial Officer; and I’m joined by Stefan Joselowitz, or as many of you know him, Joss. He is President and Chief Executive Officer of MiX Telematics. During today’s call, we will make forward-looking statements related to our business, which are subject to material risks and uncertainties that could cause our actual results to differ materially. For a discussion of the material risks and other important factors that could affect our results, please refer to those contained in our Form 10-K and other SEC filings, all of which are available on the Investor Relations section of our website. We will also be referring to certain non-GAAP financial measures. There’s a reconciliation schedule detailing these results currently available in our press release, which is located on our website and filed with the SEC. With that, I will turn the call over to Joss.
Stefan Joselowitz: Thanks, John, and thanks to all of you for joining the call today. Our fourth quarter results reflected strong execution by the entire MiX team, as we continue to build on the momentum from recent quarters. We added close to 25,000 subscribers to end the quarter with a base of over 815,000, an increase of 9% year-over-year. Our subscriber base is now nearly back to its pre-pandemic levels. All three of our solution categories contributed to the strong growth, including solid new premium fleet customer additions. I would now like to quickly summarize our financial results for the fourth quarter and the full fiscal year, which John will review in more detail later. For the fourth quarter subscription revenue of $31.3 million was up 7% in constant currency, excluding the one-time renewal fee related to a large contract modification in Q4 of last year. And adjusted EBITDA of $8.2 million at a 23% margin, which was ahead of our expectations and reflects our discipline investment in growth and our ability to manage inflation headwinds. For the full year, annual recurring revenue ended the year at $127.1 million, up 9% year-over-year and in line with our expectations. Our ARR would’ve been higher, but like last quarter, the ongoing supply chain challenges are impacting vehicle deliveries to some of our customers. Consequently, some new project rollouts have been slower than planned. Our committed contract backlog continues to be at elevated levels and represents future growth as these vehicles get delivered and implemented. Adjusted EBITDA was $31.6 million at a 22% margin. The notable improvement in net subscriber adds was an important development in the quarter and reflects greater customer willingness to invest. As we have discussed for a number of quarters overall demand and customer engagement has remained relatively high. We have started to see that translate into more normalized buying patterns, but is not yet back to pre-pandemic levels. I would like to highlight a few key wins and milestones from the fourth quarter. Firstly, one of our global customers  achieved a major milestone reaching 10,000 subscribers with MiX having experienced remarkable improvements in safety and efficiency since starting to work with us in 2018. At fault fatal road crashes have been reduced by 83% underscoring MiX’s ability to save lives.  remains committed to achieving further milestones in the coming years. In 2022, the company will be embarking on projects with us that will utilize AI technology to a system in their quest towards achieving zero accidents. We look forward to continuing our long-term partnership and will soon be rolling out our technology to an additional 650 vehicles in Romania. In Brazil, we will rewarded significant contract expansion by an existing bus and coach customer. This client is adding 2,000 vehicles to our premium solution offering and in the process doubling the size of their connected fleet with us. After achieving a 15% reduction in fuel consumption across the vehicles currently leveraging our technology, the company now intends to drive more safety, sustainability, maintenance, and fuel consumption benefits across their broader fleet. In the United States, we signed our first customer to one of the OEM Telematics data services that we’ve recently integrated with. This was within a month of launching the MiX OEM Connect solution, which is an ongoing program to integrate with the Embedded Telematics services offered by various vehicle manufacturers around the globe. This initial win is an exciting early indication of opportunity with OEMs and the potential for a software only deployment model. And lastly, in the UK, we announced a new contract with Martin Oliver Transport, a leading road transport service operating a modern fleet of heavy vehicles. This customer is particularly focused on optimizing its fleet management and driving monitoring capabilities. The fourth quarter was a solid finish to a successful year for the company. We delivered on each of our key goals for fiscal 2022 namely we returned the business to sustainable growth with constant currency ARR growth of 9%. We were particularly pleased with the strength in our African business throughout the year, we saw a notable improvement in premium fleet demand. We delivered on our profitability target of low to mid-20s adjusted EBITDA margin, despite the supply chain and inflation challenges throughout the year. Our commitment to balanced profitable growth allows us to quickly react to changing market conditions and is a key differentiating factor of our business model. We made significant progress investing in our sales and marketing and distribution efforts around the world. We added great talent to our go-to-market team that will help lay the foundation for even better growth in the years ahead. And finally, we developed a number of important innovations and expanded our solution portfolio throughout the year. This included enhancements to our AI Video Telematics solution, multiple new hardware variants to mitigate supply chain risks, a Canadian ELD solution, various OEM integrations, system support and reporting for electric vehicles and enhanced embedded dashboards and analytic features. As we look ahead to fiscal 2023, we are increasingly optimistic about the long-term opportunity for MiX Telematics. The breadth and depth of conversations with customers make it clear that a growing number of fleet operators understand the strategic importance of a comprehensive telematics platform. They recognize that deploying MiX’s solution can generate significant improvements in operating efficiency, fleet uptime and driver safety and quickly generate meaningful return on investment. Our goal is here is to build on last year’s success and make additional progress towards returning to our long-term financial targets of 15% to 20% constant currency subscription revenue growth and 30% plus adjusted EBITDA margins. Many of our key priorities this year remain the same, specifically, we will continue to invest in our go-to-market efforts around the world. We have seen good returns on recent investments and see opportunities to go deeper in building out our demand generation and indirect sales channel efforts. We will continue to invest to improve and expand our product portfolio. A key focus will be to further simplify the installation process and enable customers to begin realizing value from their investment with MiX sooner, particularly in our premium fleet segment. For example, we will invest to make it possible for customers to bring their own device to deploy MiX solutions like for ELD compliance in the United States. We are already pleased with the returns we are seeing from our product investments and know that reducing friction can drive faster customer adoption. We will invest in initiatives that will further improve our subscriber retention efforts. As the business improved throughout 2022, we have seen subscriber retention return to pre-COVID levels, which was an important driver in our return to revenue growth. We believe that there is an exciting opportunity to improve upon the success and drive even better results than we had historically. We believe that we will generate mid-to-high single digit constant currency subscription revenue growth, and high-single to low-double digit annual recurring revenue growth in fiscal 2023. The expectation for accelerating growth year-over-year reflects the ongoing improvement in our business that is mindful of the current macro environment related to the global supply chain, inflation and other challenges. We also expect to deliver another strong year of profitability with adjusted EBITDA margins in the low-to-mid 20s. Our margin outlook reflects our continued commitment to profitable growth and the incremental investments we expect to make in support of our long-term growth initiatives. Our profitability outlook for this year also takes into account the continued inflation challenges in certain aspects of the business. We have done a good job to date navigating the complex and quickly evolving cost environment. We are confident we will continue to do so this year, but the longer these challenges persist, the more difficult can be to manage. Before I wrap up, I want to provide an update on our senior leadership team. John Granara has recently decided to leave next to pursue another career opportunity closer to home. John has been an important member of our senior leadership team and has done a great job helping the company succeed during some highly challenging times in the market. John will remain the CFO through the end of June to complete our year-end reporting process and ensure a smooth transition. I want to thank him for his hard work and wish him all the best going forward. I am pleased to announce that Paul Dell, our current Chief Accounting Officer will become Chief Financial Officer next month. Many of you know Paul from his time as interim-CFO several years ago. He has great experience with our business and is a seasoned finance executive. I am excited for Paul and want to congratulate him on this well deserved promotion. I would like to end by highlighting the success MiX Telematics is having across the Board. We believe we are entering a sizeable investment cycle in vehicle and video telematics solutions in the market that should benefit our business for years to come. We feel very good about our ability to deliver in our long-term financial targets and generate significant shareholder value. This is an exciting time for the company. And I want to thank all of our employees for their hard work and commitment to our customer’s success. I would now like to turn the call over to John to review our financial results in more detail. John?
John Granara: Thanks, Joss, and thank you for the kind words. I’m proud of what we’ve accomplished at MiX in my time here. And I’m confident the company set up well for sustained success going forward. I also want to congratulate Paul on his promotion. I’d now like to turn to our financial results for Q4. Please keep in mind that all figures refer to the fourth fiscal quarter of 2022 in all comparisons are for the year-over-year changes unless I say otherwise. As a reminder, the majority of our revenues are derived from currencies other than the U.S. dollar. South African Rand weakened against the U.S. dollar compared to the fourth quarter of fiscal year 2021, contributing to a 0.9% decrease in a reported subscription revenues. For the full year, the Rand strengthened against the U.S. dollar and increased reported subscription revenues by approximately 6.2%. Starting with the P&L, total revenue came in at $36.1 million and subscription revenues were $31.3 million, an increase of 6.3% and 2.5% on a reported constant currency basis respectively. As a reminder, the prior year fourth quarter comparison included a one-time non-recurring fee of approximately $1.1 million related to a contract renewal that was included in subscription revenue. Excluding the one-time fee in the prior year, subscription revenue grew 6.9% year-over-year on a constant currency basis. We ended the quarter with over 815,000 subscribers, an increase of 9% year-over-year. Subscribers grew approximately 24,700 sequentially, the strongest quarterly net adds for the company in years. The strong net adds in the fourth quarter and the second half of the year were driven by improved trends in all three of our solution areas. We are particularly pleased with our premium fleet performance, where fleets greater than 500 vehicles grew 10% during the full year. Based on recent trends and underlying demand we are seeing in the market, we are confident in our ability to drive meaningful growth in our subscriber base going forward. ARR at the end of the quarter was $127.1 million up 9% year-over-year and in line with our expectations. ARR continues to be impacted by the longer implementation cycles in some of the larger wins during the year, which has significantly grown our contracted backlog of pending installations, several million dollars above historical levels. We have large customers who have experienced delays, receiving vehicles as part of their plant fleet expansion. Adjusted for this dynamic, we would’ve had low double-digit ARR growth year-over-year. Hardware and other revenue of $4.8 million were up 35.7% year-over-year. As a reminder, hardware and other revenue can be volatile quarter-to-quarter. Hardware continues to benefit from strong adoption of our MiX Vision AI solution in some large recent wins, where the hardware was not bundled into the subscription. Moving on to gross margin and operating expenses. Gross margin was 64.1% compared to 64.5% in a year ago period. Subscription margin remained strong at 69.7% compared to 69.1% a year ago period. As a reminder, subscription revenue represents the best majority of our revenue and is the primary value driver for MiX’s business. While we are pleased with our gross margin performance in the quarter, we do expect some volatility in fiscal year 2023, as we work through some of the supply chain challenges that impact costs and the higher mix of hardware revenue due to some of the large unbundled wins in our backlog. We have a scalable and efficient business model and are confident our overall gross margin could sustain 64% to 66% annually as hardware mix and supply chain stabilizes. Operating expenses were $19.4 million and were up 19% compared to prior year. The growth in OpEx reflects the targeted investments in sales and marketing and R&D that we have made throughout the year. We have a robust product development roadmap we are executing against that we expect will generate significant incremental value for our customers and future growth opportunities for MiX. Adjusted EBITDA was $8.2 million or 22.8% of revenue compared to $11.3 million or 32.9% of revenue last year. Our adjusted EBITDA performance was in line with our expectations and demonstrates our ability to generate significant profitability even while investing for growth and navigating a challenging cost environment. Adjusted net income for the quarter was $2.3 million down from $3.5 million in the year ago period. The company’s effective tax rate was negative 23.1% compared to 47.3% in the fourth quarter fiscal year 2021. Ignoring the impact of foreign exchange gains and losses, the tax rate was 36.9% compared to 41.4% in the prior year. Our income tax expense was higher than expected due to a one-time non-cash provision against a deferred tax asset. Going forward, we expect an effective tax rate of between 30% and 32%, depending on the geographic spread of profits. Turning to the balance sheet. We ended the quarter with $33.7 million of cash and cash equivalents compared to $45.5 million as of March 31, 2021. In the fourth quarter, we generated $4.7 million in net cash from operating activities and invested $7.3 million in capital expenditures, leading to a negative free cash flow of $2.5 million. The use of cash includes investments in, in vehicle devices of $4.9 million. The elevated amount of in vehicle investment reflects in part our proactive efforts to pre-purchase inventory to manage our supply chain. The market for certain components of our hardware are under significant stress and seeing cost inflation. We believe building an additional buffer into our supplies is prudent against this backdrop. In the fourth quarter, we repurchase 4.5 million ordinary shares on the open market at prevailing market prices for a total consideration of $2.2 million, bringing the total amount of shares repurchase to 6 million for the full fiscal year. Our free cash flow and balance sheet enabled us to once again declare a quarterly dividend of 4 South African cents per ordinary share. Before I wrap up, I would like to provide some additional perspective on our expectations for fiscal 2023. We are targeting another year of solid growth with mid to high single digit constant currency subscription revenue growth, and high single to low double digit ARR growth. We continue to see encouraging demand activity across each of our major end markets and solution areas. We are mindful of the complexities and challenges facing the global economy and monitor the situation closely, but we feel good about our prospects in fiscal 2023. In terms of the progression of growth throughout the year, we expect growth to be more muted in the first half of the year before picking up in the second half. A primary driver relates to some unique dynamics with one of our largest customers in South Africa with whom we recently signed a five year renewal. This customer will be expanding their engagement with MiX by updating their entire fleet of more than 10,000 vehicles with our MiX Vision AI camera solution. However, as part of the renewal, this customer transitioned from a direct sales relationship with MiX to a channel relationship to one of our pre-approved dealers. The net result is the following. ARR from this customer will decline in the first half of the year due to the dealer transition. ARR will then gradually ramp throughout the year as we implement its full fleet with MiX Vision AI, which is expected to bring ARR back to its original levels by year end. The overall profitability of this customer will improve as much of the expense to service this customer goes away due to the dealer transition. I would also note that we have approximately $500,000 of ARR with customers in Russia, primarily subsidiaries of Western companies. If sanctions were to expand to cover these customers, we would, of course, cease servicing these customers and that ARR would come off our books. From a profitability perspective, we continue to take a balanced approach investing for growth and driving profitability. We believe our target for low to mid 20s adjusted EBITDA margin is a good example of our cost discipline and our ability to drive efficiencies across the business while continuing to invest in our key growth initiatives. From a cash flow perspective, while we don’t guide to free cash flow specifically, we do expect to maintain the elevated levels of investments in, in vehicle devices in the first half of fiscal 2023 as we build our inventory levels. And hope to return to normal levels in the second half of the year. I’ll wrap up by saying that fiscal 2022 was an important year for MiX and put the company in a great position to deliver on our long-term financial targets over time. We have proven our ability to manage this business through a variety of business cycles and believe our attracted combination of growth and profitability can generate substantial value for shareholders. Operator, let’s begin the Q&A, please.
Operator: At this time, we’ll be conducting a question-and-answer session.  First question comes from the line of Matt Pfau with William Blair. You may proceed with your question.
Matt Pfau: Hey, great. Thanks guys for taking my questions. Wanted to just first ask with the recent macro concerns and geopolitical concerns. Have you noticed any change in the tone with conversations within your customer base?
Stefan Joselowitz: Hey, Matt, thanks for taking the time. Of course, the – there are a lot of headwinds that I think the global economy is facing at the moment. And certainly some of that is reflected in conversations with customers. So there’s no doubt. I think that we do notice a heightened level of concern, particularly around inflation. And of course supply chain issues, we’ve got some of our customers that are struggling that are looking to expand their fleets and are not getting the vehicles as fast as they would like for expansion. But nonetheless, the tone of conversation as it pertains to the need for Telematics is in my mind getting increasingly bullish.
Matt Pfau: Got it. And maybe you can just comment specifically with your energy segment, what you’ve seen there with everything that’s going on.
Stefan Joselowitz: Sure. We’ve seen in recent quarters, some modest growth, so please to report that segment is certainly returning to a growth contribution cycle from existing customers. It’s not at the pace that we would ideally like. And in fact, we have seen in previous cycles that the return to investment takes longer than I guess the pace that they put the brakes on. So nonetheless, the signs are now positive.
Matt Pfau: Great. And just last one for me, wanted to follow-up on the commentary around allowing customers to bring your own devices. Maybe just some more detail on the, why pursue that and was that a pushback from some customers or prospects that you were trying to get?
Stefan Joselowitz: Yeah, it’s certainly a combination of things. And bear in mind that for some of our solutions, we require some third-party hardware. In other words, we’re not talking about the core onboard computers, the kind of devices that are already at the heart of our business. We are talking about peripheral devices and the one example I think we referred to in the core was for ELD, in other words, some kind of in-cab screen, which we provide as an option, but of course, there’s customers want a lot more flexibility potentially than just the screen that we offer. And there’s no doubt that we see a potential to accelerate adoption by integrating with external devices that a customer can potentially provide their drivers themselves without having to use our specific device.
Matt Pfau: Great. Thanks guys. Appreciate it.
Stefan Joselowitz: Thank you, Matt.
Operator: Our next question comes from the line of Mike Walkley with Canaccord Genuity. You may proceed with your question.
Mike Walkley: Great. Thanks for taking my question, John enjoyed working with you best wishes at your new opportunity. I guess my first question is for you just on the gross margin, just wanted to clarify your comments. It was, strong recovery in hardware gross margins this quarter, but it sounds like there's going to be less deals bundled or a greater mix of hardware implied in your fiscal 2023 guidance. So can you just kind of walk us through with inflation, how to think about hardware gross margins in the year, and it's that it's going to drive the total gross margin kind of below your targeted long-term, 64% to 66% range?
John Granara: Yeah, Mike so we have a few orders in backlog that are unbundled that we have not yet shipped which we are expecting to ship in the first half of the year. And so as a result, I would expect the blended gross margin to probably get in the lower 60% range. So in the 62%, 63% range which is where it was earlier in the year when we had some higher shipments. And so this has been sitting in our backlog for a while. We had made some shipments for this particular order, but we still have a significant number to ship. So that's going to have a short-term effect on the gross margins for the first half of the year. Excluding that and of course, as you we focus on our SaaS margin and that is remaining in that 70% range.
Mike Walkley: Great. Now that's helpful. I just wanted to clarify that. And then Joss, you highlighted nice recovery, especially on the premium end of the market. How should we think about growth in that segment and maybe has it flows through the model? How are you thinking about ARPU trends as some of your premium customers start to grow again?
Stefan Joselowitz: Yeah. So should be feeling good about the trend. We refer to the fact that our contracted backlog is a certainly at elevated levels. So it remains that it levels significantly higher than just thinking back to prior years that then we finished – traditionally finished the year with. So we've got a lot of pent up growth in our current order backlog. And that's certainly going to support the way we are thinking about the plan and the way our year will progress going forward.
Mike Walkley: And just to follow-up there too, is the kind of demand a mix of you're struggling to source components to sell your hardware or is it more your end customers just not getting the vehicles they need given the ongoing auto supply shortage?
Stefan Joselowitz: Yeah, thankfully at the moment, it's the latter. So our team has done a great job in managing our own supply chain issues and not to say that we don't have issues. It is an ongoing challenge in sourcing components, but we haven't had an internal issue yet that has inhibited our ability to grow. And of course that's an ongoing exercise as the year and the years progress. But the primary cause of this elevated backlog is vehicle availability. And it's affected more than one large order that we are dealing with customers that are expanding their fleet and/or have a desire to expand their fleet, have orders for motor vehicles and/or not getting those deliveries as quickly as they and of course we would like.
Mike Walkley: Great. And last question for me and I'll pass it on. Just given the inflation in the supply chain, are you able to pass on some of the cost on your own hardware as you roll it out, you redo contracts or sign new contracts to your customers or do you expect some gross margin pressure in the short-term as you just try to meet the deliverables for your customers?
Stefan Joselowitz: Yeah of course. Bear in mind, one of the strengths of our business model is we have long-term contracts with many of them with significant enterprises. The bad news is we have long-term contracts with significant enterprises and many of these contracts particularly in the first world don't have automatic inflation increased clause built into them. In some of our developing world businesses, in fact in South Africa as a great example it's almost standard that because it's a country that's been used to a high inflationary environment for a long period of time. It's kind of standard and accepted by customers that there is annual inflationary clause built into contract. So we've got kind of a balance in our business where some of our contracts provide for it, others don't. And there's no doubt that with the influx of time, we are going to have if inflation stays at these kind of elevated levels when we come to renewal stages, we are going to have to have conversations with customers on how they help us absorb some of the cost increases. And I suspect we will get some reception from, I think customers will be receptive to those kind of discussions, they'll probably, there's no doubt. It'll always be an on-resting match at the time of renewal, but it is something that we are going to have to have conversations about.
Mike Walkley: Okay, thanks for taking my questions and congrats on the strong close to the year.
Stefan Joselowitz: Appreciate it. Thank you.
Operator: Our next question comes from the line of Alex Sklar with Raymond James. You may proceed with their question.
Alex Sklar: Thanks. Joss really strong sub growth end the year. Can you just help size the pipeline of opportunities for premium fleet where that sits today versus a year ago? And I'm curious how sustainable this kind of new level of net adds is going into 2023? Thanks.
Stefan Joselowitz: Thank you.
John Granara: Yeah. So I think just with regards to the pipeline, we look at it two ways. You have one, the pipeline of new opportunities, which we haven't signed contracts. And then we also have the pipeline of with our pending backlog. And as we said on the prepared remarks, the pending backlog is quite significantly higher than it has been in the past for the reasons we've already mentioned. And so from that standpoint, that gives a good base as we move ahead. But in terms of the pipeline for new opportunities that still remains pretty robust compared as we've been pretty –we've seen that continue to grow throughout the year, as we've said the pipelines continue to build up with both large and small opportunities. And so we're feeling pretty good about where that sits right now. We didn't talk a lot about the solutions specifically, but we're seeing area across all three of the solutions as well, premium life fleet and asset tracking.
Alex Sklar: Okay, great color there. So the other thing, John, I was curious, we hit on gross margin, but can you help unpack the EBITDA outlook, it's pretty much the margins flat kind of where you exited the year. How does hiring plans factor in that wage inflation? What are your kind of thoughts on some of those investments?
John Granara: Sure. So keep in mind that when we started the year and I didn't mention it today, but perhaps, maybe I should just to remind everybody, when you look at the year-over-year comparison, we had a lot of costs that came back into our P&L last year that we did not have during the pandemic, remember that we had really pulled back on expenses and so some of the expense increase that we saw this year was just regular normalization of our cost structure, hiring, travel, wages, things of that nature that we just didn't do during the pandemic. So we have that piece. But in addition, we made the investments related for the go-to market, sales and marketing, hiring people, third-party investments in terms of digital spend, digital marketing and then also on the product development. We made investments where we were hiring again. We froze hiring again in the last fiscal year. So what you're seeing there is cost normalization, but also incremental investments for the growth initiatives that we talked about. And we did take that balanced approach. We knew we were making those investments and we wanted to maintain the balanced approach of keeping the margins where they were. And that's similarly why we're making similar investments again this year, because we're getting the good return on our investment. And we're also still targeting that low to mid 20% EBITDA margin. But that's because we're going to continue to make the investments because we are getting the return on the investment. We're seeing it in the pipeline, we're seeing it in a product roadmap. And so I think the current levels is where we're comfortable at. We probably would be uncomfortable letting it go below that. But I think where we are right now is probably a comfortable level as we're making investments to grow.
Alex Sklar: Okay, great. Maybe just squeeze in one more, just given the kind of the sell-off in the software environment, I'm curious kind of, you've seen the M&A opportunity at all change. Are you seeing some of the private multiples come in kind of versus where they historically been? Thanks.
Stefan Joselowitz: Thanks. Yeah, we've certainly – we obviously have ongoing discussions regarding acquisition opportunities and we are still desirous of blocking up our business. So it's in terms of a strategic opportunity, it's something we continue to look at. And I will say to, I guess to the point that I think you're referring to is that the evaluation expectations have certainly appeared to come into range into the kind of range that we would easier be able to get our heads around. So it's nothing definitive, but nonetheless it could be beneficial from our perspective.
Alex Sklar: Okay. Thank you all.
Stefan Joselowitz: Appreciate your time. Thank you.
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. I would like to turn this call back over to Joss for closing remarks.
Stefan Joselowitz: Thanks so much, Laura. Thanks to all of you for joining us today. We really appreciate your interest in MiX Telematics. I do want to reiterate how pleased we are with the progress we made during fiscal 2022 and of course our confidence in our ability to build upon that success in fiscal 2023 and beyond. We look forward to speaking with many of you in the coming weeks, including at the William Blair Growth Stock Conference next month. And thanks again for your time and have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. Enjoy the rest of your day.